Operator: Good day, and welcome to the Information Services Group Fourth Quarter and Year-end 2020 Results Conference Call. Today's conference is being recorded, and a replay will be available on ISG's website within 24 hours.
 At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Barry Holt. Please go ahead, sir. 
Barry Holt: Thank you, operator. Hello, and good morning. My name is Barry Holt. I'm a Senior Communications Executive at ISG. I'd like to welcome everyone to ISG's fourth quarter conference call. I'm joined today by Michael Connors, Chairman and Chief Executive Officer; and David Berger, Executive Vice President and Chief Financial Officer.
 Before we begin, I'd like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements, which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated. For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained in our Form 8-K that was furnished last night to the SEC and the Risk Factors section in ISG's Form 10-K covering full year results. You should also read ISG's annual report on Form 10-K and any other relevant documents, including any amendments or supplements to these documents filed with the SEC. You will be able to obtain free copies of any of ISG's SEC filings on either ISG's website at www.isg-one.com or the SEC's website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances.
 During this call, we will discuss certain non-GAAP financial measures, which ISG believes improves the comparability of the company's financial results between periods and provides for greater transparency of key measures used to evaluate the company's performance. The non-GAAP measures, which we will touch on today, include adjusted EBITDA, adjusted net earnings and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided as additional information and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure, please refer to our current report on 8-K, which was filed last night with the SEC.
 And now I'd like to turn the call over to Michael Connors who will be followed by David Berger. Mike? 
Michael P. Connors: Thank you, Barry, and good morning, everyone. This morning, I will review our fourth quarter results; introduce you to our new operating model, ISG NEXT; and provide guidance for the first quarter.
 Over the past year, our business has proven to be resilient and highly adaptable to current market conditions as evidenced by the business results we are generating. ISG finished with a strong fourth quarter marked by expanding margins, strong cash generation and increasing demand for all things digital. Our revenues, EBITDA and EPS for the quarter all exceeded expectations. Q4 revenues of $66 million were up 8% sequentially and up 5% over the prior year, excluding the impact of billable T&E, which was near 0 with our ban on travel. We saw good growth in all 3 regions during the quarter. Americas revenues were up 8% sequentially; Europe, up 10% sequentially; and Asia Pacific was up 13% from a year ago. Recurring revenues continue to expand at $22 million for the quarter, up 17% versus the prior year and $82 million for the full year, up 10%. Recurring revenues now represent 33% of our firm-wide total.
 During the year, we made significant progress with our GovernX SaaS platform, a key component of our recurring revenues. We increased the number of users by 90% to 12,000. We increased the number of contracts under management by 80% to 8,000. And we increased total contract value under management by 30% to $46 billion.
 In the quarter, EBITDA margins rose again to 14% as we delivered more than $9 million of EBITDA, up 11% sequentially. This caps a strong second half after client decision-making was impacted by the pandemic in the first half. Our more profitable mix of client solutions is driving our margin expansion. Our Go Digital strategy launched well before the pandemic is helping us weather this economic and health crisis. Revenue from higher-margin digital services was more than 50% of our total in the fourth quarter. Our business is essentially now digital. So we will not report on this metric going forward.
 Our balance sheet has never been stronger. In the fourth quarter, we generated $7 million in cash from operations and a record $44 million for the year, a testament to the cash-generating power of our business and our disciplined operating approach. And during 2020, we repaid $8 million of debt, lowered our balance by 9% to $79 million and ending 2020 with a net debt-to-EBITDA ratio of only 1.2x.
 Clients are turning to ISG in increasing numbers, looking for expert advice and guidance on how to navigate through the pandemic. In 2020, we served 722 clients, up 3% versus last year. Of that total, 224 were new to ISG, all won in a work-from-home selling environment. This client expansion will serve us well in 2021.
 In terms of client behavior, our clients slowed their spending on large-scale digital transformation initiatives last year, but they continue to invest in the digital technologies they need to survive and emerge stronger from the pandemic. We are seeing growing demand for cloud adoption, network modernization and workplace in the future technology. These technologies enable work-from-home models, improve collaboration and enhance customer experience.
 We remain somewhat cautious with the pandemic still in front of us. The good news is vaccinations are accelerating in the United States and the U.K., and the current lockdowns in France and Germany are expected to ease towards the end of Q2. With these improving conditions, we see our clients accelerating their digital transformations. That acceleration will start slowly, especially in Europe, and begin to pick up steam during the course of the year.
 Now turning to our regions. The Americas delivered $38 million in revenue in the quarter, up 8% sequentially and up 6% versus the prior year when you exclude the impact of billable T&E. Our discussion of regional results in Europe and Asia Pacific, likewise, will exclude T&E. Key client engagements in the Americas during the fourth quarter included technology companies Fortive, Blackstone, Canadian National Railway, Petco and Abbott Labs. Among our significant wins, ISG signed a multiyear GovernX contract with a global hospitality company. ISG also secured $1 million GovernX agreement with a top 3 technology giant. This engagement expands GovernX services to additional organizations within this tech client and positions ISG to support more than $1 billion of spend across their supplier portfolio.
 ISG has been awarded the firm's first-ever Training as a Service engagement for nearly $1 million with the signing of an initial 1-year contract with a leading U.S. bank. The client, in essence, is outsourcing its technology training to ISG, giving us an opportunity to generate recurring revenue from our enterprise change solution and being able to offer a similar service to other clients. And all of this was accomplished in the remote selling and delivery environment. Even more impressive, we are seeing an uptick in our client satisfaction scores as we work virtually with our clients.
 Turning to Europe. Our Q4 revenues of $23 million were up 10% sequentially, up 1% versus the prior year. The lockdown in most of Europe impacted the year-over-year comparisons. During the quarter, EMEA delivered double-digit revenue growth versus Q3 in our Research, GovernX and Automation businesses. Among our industry segments, our insurance, manufacturing and media vertical grew by double digits. Key client engagements in Europe in the fourth quarter included BNP Paribas, Fresenius, Deutsche Bahn, Perceptive Informatics and IQ-EQ, a U.K. financial services company. Among our wins, ISG has been awarded $1 million engagement with a European transportation company to support their automation journey for customer engagement. In addition, ISG has been awarded a 6-month $1 million engagement to support global sourcing for a leader in medical life sciences and optics. We will support sourcing implementation for this client's digital transformation.
 Finally, revenues in Asia Pacific were up 13% versus the prior year driven by the public sector, consumer, banking and insurance industry verticals. Key clients in the quarter included Rio Tinto, the Australian Taxation Office, Department of Defense, Department of Home Affairs, the New South Wales Chamber of Commerce, Protiviti and Infosys. During the quarter, ISG was awarded a new engagement with a global mining company to implement a service integration and management operating model. This new 8-month contract calls for ISG to provide transition and transformation services, including change management to support onboarding of service contracts across the company's entire service portfolio.
 Now let me turn to our new operating model, ISG NEXT. ISG NEXT will extend our market leadership, enhance our growth opportunities and drive significant value for all stakeholders. As with many of our clients, the pandemic revealed the art of the possible for ISG. We are now able to deliver the same or higher-quality services working remotely at higher margins. Since the pandemic, our client experience scores are up across all dimensions. Our consulting utilization is higher, and we were able to attract over 200 new clients to the firm last year, again, all while working remotely. Within ISG NEXT, we are focusing our business in 2 areas: ISG Digital and ISG Enterprise. ISG Digital offers client solutions for technology modernization, enterprise agility, digital platforms and workplace of the future with a focus on the CIO, chief technology officer and chief digital officer community. ISG Enterprise delivered solutions focused on cost optimization, business operations, enterprise change and technology adoption with a focus on the COO, CFO and chief purchasing officer community.
 ISG NEXT is a game-changer for ISG. It focuses our global capabilities on the 2 most important areas to our clients: their continuing digital transformation and getting the most from their digital investments. Our new operating model enhances our ability to integrate our solutions for better end-to-end client outcomes, and it promotes increased cross-selling opportunities that will drive greater penetration and revenue growth with our clients. ISG Digital and ISG Enterprise are supported by ISG Research with its deep market analysis and provider evaluations as well as ISG Events and our software platforms, such as ISG GovernX.
 With ISG NEXT, our expert advisers are delivering client solutions through a new global integrated delivery model called ISG iFlex that enables us to rapidly deploy our resources to solve any client challenge regardless of geography or time zone. To support this model, we have launched an internal platform called the ISG Workbench that allows our advisers to access all the ISG tools and IP they need to serve our clients in a remote working environment. We expect ISG NEXT to provide a step change in financial performance for ISG, including expanding EBITDA margins by 400 basis points over the next 2 years versus full year 2020.
 Now let me turn to guidance. The pandemic continues. The effect on our clients is most pronounced at the moment in Europe due to continued lockdowns. There also is a fair amount of uncertainty within certain industry segments like travel, hospitality and leisure areas like casinos and cruise lines. Despite this, we see the demand environment for all things digital, cloud, network, strategic sourcing, automation and the digitization of businesses, strengthening overall for the first half of 2021 versus a year ago, and this is the ISG sweet spot. So our plan is to continue to provide you guidance on a quarterly basis this year based on assumptions we are making in what is still a pandemic environment.
 For the first quarter, we see an overall strengthening in the demand environment for ISG services. We are forecasting $63 million to $65 million in revenue in Q1. We also see significant margin expansion in the quarter, resulting in a doubling of adjusted EBITDA to between $7 million and $8 million versus the prior year. Our forecast takes into account several pandemic-related factors. In Q1, we are planning no revenue from in-person ISG-produced destination events, which will impact our year-over-year comparison by nearly $2 million. And we are planning near 0 of client T&E reimbursement revenue. This will impact our year-over-year comparison by another $1.5 million for a total of $3.5 million of year-over-year impact due to the continuing pandemic. We also expect compressed revenue in a few industry segments like travel but balanced with double-digit growth in digital services.
 So even with these impacts, we are expecting to deliver our most profitable first quarter ever driven by our new operating model, ISG NEXT, and higher-margin, in-demand digital services.
 So with that, let me turn the call over to David Berger who will summarize our financial results. David? 
David E. Berger: Thanks, Mike, and good morning, everyone. To reiterate what Mike said, we managed through a difficult operating environment and delivered a solid fourth quarter.
 Revenues for the fourth quarter was $66.4 million, up 8% sequentially and up 1% on a reported basis compared with the fourth quarter last year. Currency positively impacted reported revenues by $1.7 million versus the prior year. Excluding reimbursable client travel costs of $2.2 million, which accounted for approximately a 340 basis point decline versus the prior year, revenue was up 5% versus last year. Reported revenues, excluding T&E, was $37.8 million in the Americas, up 8% versus the third quarter and up 6% versus the prior year; $23.1 million in Europe, up 10% sequentially and up 1% versus the prior year; and $5.5 million in Asia Pacific, down 4% sequentially and up 13% versus the prior year.
 Fourth quarter 2020 adjusted EBITDA was $9.2 million, up 11% versus the third quarter and down from $9.6 million in last year's fourth quarter. We reported fourth quarter operating income of $3.5 million compared with operating income of $5.1 million in the fourth quarter of 2019. Net income for the quarter was $1.4 million and fully diluted income per share was $0.03 versus $2.1 million and $0.04 per share, respectively, in the prior year. Adjusted net income for the fourth quarter was $4.9 million or $0.10 per share on a fully diluted basis compared with adjusted net income of $4.8 million or $0.10 per share on a fully diluted basis in the prior year fourth quarter. Consulting utilization for the fourth quarter was 73% versus 66% in the prior year, reflecting the impact of our new ISG NEXT operating model. Year-end headcount was 1,258, down slightly versus last year.
 Our balance sheet continues to have the strength and flexibility to support our business over the long term. Net cash provided by operations for the fourth quarter was $7 million and a record $44 million for the year, up $24 million versus the prior year. We ended the year with $43.7 million of cash, up from $18.2 million in the prior year and $38.1 million in Q3. We repaid $1.1 million of debt in the quarter and $8.1 million during the year, lowering our debt balance to $78.8 million. Our average borrowing rate for the quarter was 2.5%, less than half of last year's rate, and we have 48.4 million shares outstanding as of March 3.
 In terms of modeling for 2021, we are looking at interest expense of approximately $2.8 million for the year; depreciation expense of approximately $2.7 million; intangible amortization of around $2.7 million; stock compensation [ to lag ] this year; cash taxes of between $5 million and $6 million; capital expenditures of approximately $3 million; an expected tax rate of 55%, in line with this year; and changes in the contingent consideration and add-backs to arrive at an adjusted EBITDA we think of around $500,000 charge in the first half.
 Mike will now share our concluding remarks before we go to Q&A. 
Michael P. Connors: Thank you, David. To summarize, ISG is a much stronger firm emerging from this pandemic. Our balance sheet has never been stronger with $44 million of cash, more than double pre-COVID, and our net debt is down to 1.2x EBITDA. Our new operating model, ISG NEXT, is driving a more profitable enterprise and will result in a step change in our financials over the next few years. Our revenue, EBITDA and EPS beat expectations in Q4, thanks to our early and decisive cost actions and improved mix of higher-margin products and services. We continue to serve our clients without interruption and deliver the services they need to contend with the current global health and economic crisis. Our Q1 guidance reflects a strong start to 2021 with expected EBITDA results more than double a year ago.
 As always, we are focused on creating shareholder value for the long term, and we are steadfast in our mission to deliver operational excellence to our clients.
 So thank you very much for calling in this morning. And now let me turn the session over to the operator for your questions. 
Operator: [Operator Instructions] We'll take our first question from Marc Riddick with Sidoti. 
Marc Riddick: So certainly, a lot of good news to report and certainly, in particular, you're well above where we were for the fourth quarter as well as your guide. I wanted to talk a little bit about the cadence and maybe get a sense of how that develops through the quarter, in the fourth quarter and then into what you're seeing in providing the guidance that you have. And kind of I guess I'm trying to get a sense of maybe when the -- when we saw the revenue sort of tick up versus maybe the last time in the last conference call with the guidance that was provided back then. 
Michael P. Connors: Sure. Thanks, Marc, for the question. Look, it's a combination, I think, of a market inflection point plus our all-new operating level. I think with the announcement of the vaccines during Q4, a lot of our large Global 2000 clients are beginning to ramp up their technology investments, particularly the digital-oriented initiatives, to help them be better positioned as the world begins and finally opens up as we evolve through the year, so I think an unusual demand inflection point. At the same time, we had just recently launched our core go-to-market model, ISG NEXT, which is resonating very well with our clients in every region. And I think this allowed us to more easily put forward our full set of offerings to both integrate and cross-sell across a lot of our engagements.
 So I think that the timing of our new model of ISG NEXT turned out to be spot-on in kind of an alignment with the market pivot, if you will, to kind of begin the acceleration of their technology investment. So kind of the combination of this market inflection point, the vaccinations that are creating a confidence level and our new operating model, all coming together, really allowed us to kind of accelerate what we may have been expecting for the fourth quarter. So all good news there. 
Marc Riddick: Okay. Excellent. And I wanted to sort of switch to NEXT and sort of if you could sort of give us a little bit of a broad overview as to maybe the development of it and sort of how is it in that implementation. So are we sort of -- is there a timing of how you expect it to sort of filter through the organization? Or is it kind of something that's just -- it's already kind of happening? How should we think about that execution? 
Michael P. Connors: Yes. Good question, Marc. Look, I think you should look at it as having been implemented during the fourth quarter. So we are fully operationally global with ISG NEXT. We launched what we called our global integrated delivery model, we call it iFlex. And what this enables us to do is to take our full experts, our resource pool globally. And whether you're a cyber expert or you're a network expert or a software expert, you can serve clients in Frankfurt, Germany; Seattle, Washington; Sydney, Australia, all in the same week. And if you think about pre-COVID, we would be having our team kind of get into their planes, go off to Microsoft up in Seattle or go over to Bayer in Germany, Frankfurt or go over to IAG Insurance in Sydney, and they would be focused on a client and, of course, the productivity a little bit less because you're on a plane.
 Now with the new model, we're able to take that same cyber expert or a network expert, and they can serve our clients anywhere at any time on any kind of level of service. That is what is driving our productivity. That helps drive our utilization to 73% in consulting organization. And that is enabling us, we believe, over the next 2 years, to drive our margins at 400 basis points kind of plus over that time frame. So you should think of this as now fully implemented, fully operational. ISG NEXT is here. 
Marc Riddick: Okay. Great. And one more for me, if I could sneak one more in. I want to talk about the significant cash generation and the progress that was made on debt reduction during the year. It certainly puts you in a very positive positioning at the end of the year. So I wonder if you could talk a little bit about the -- how you're thinking about use of cash prioritization and how we should think about what the additional financial flexibility means for ISG. 
David E. Berger: Yes. Thanks, Marc. As you noted, we generated $7 million of cash in the quarter, generated record $44 million of cash for the year and ended with $44 million of cash on hand. I think we significantly strengthened our financial position. At this point, we're going to continue to preserve our cash, continue to monitor macro conditions. And as the year progresses, we will address the further uses of cash. 
Operator: We'll take our next question from Joe Gomes with NOBLE Capital. 
Joseph Gomes: Congratulations on the quarter. 
Michael P. Connors: Thanks, Joe. 
Joseph Gomes: So I wanted to start off touching on Europe. You talked in the past and even today about some of the conditions there you are facing with the lockdowns and everything. But sequentially, you saw a 10% increase in revenues there. Were you kind of surprised by those results? And what was driving the results in the quarter, even with the lockdowns that were being implemented across some of the countries there? 
Michael P. Connors: Yes, Joe, on Europe, I think our product mix served us extremely well, especially in Germany, which is our second largest market in the world. And if we think about Europe, I would say that I think that our -- if you look at kind of the banking and the insurance industry segments, in particular, we've served, I think, almost 30 clients in Europe in that sector alone, which revenue-wise, I think we were up about 12% of those clients. I would say that kind of smart manufacturing is very soft throughout Europe at the moment. I think the pandemic has caused some supply chain issues with that particular industry segment. But when you look at our kind of our overall business there, the German market, in particular, is what really drove that area for the fourth quarter.
 And I think what I was trying to say for 2021 is that we would expect Europe to be a little slower than the U.S. because of markets like France, the south of Europe and frankly, the U.K. as they work their way through the Brexit, the ins and the outs and what is happening in that market. Both of those key markets for us, I think, will weigh down a little bit on the Germany uptick. And that's why we're saying that I think Europe will start out a little slower and then build up momentum for the year. But that's how the European theater's unfolding for us. 
Joseph Gomes: Okay. And last quarter, you'd mentioned about you thought you'd seen a little bit of a lull in public sector spending. Just trying to get a little better handle on where you guys see that, what happened in the fourth quarter and how you've seen it so far year-to-date here in the first quarter. Are you seeing any kind of loosening, so to speak, of the purse strings in the government markets? 
Michael P. Connors: Yes. Look, I think on the government side, we're pretty pleased with how the government sector performed during the fourth quarter, Joe. And I would say when you think of that sector, when you think about it both in the U.S., Australia and over in the European area, U.K. and Italy, in particular, and so it held up pretty well, especially in the Australian market and some of the state governments here in the United States.
 As I think about the first half of this year, I think it's going to hold up pretty well. Well, the spending that we anticipate, frankly, could slow down a little bit with the pandemic. They also recognize a lot of the opportunities around digital initiatives around automation and other areas, moving work to the cloud and how that can benefit state government. So I would say, knock on wood, it was a good fourth quarter on the government side for us. And I think during the first half, we would anticipate a similar kind of steady business from the government sector. And I do not see a softening there at least during the first half of '21. 
Joseph Gomes: Okay. Great. And one last one for me, if I may. So it's fantastic you're talking about the anticipated EBITDA margin expansion with the ISG NEXT program. I know another goal of the company has been to see high single-digit revenue growth. When do you think you can start seeing those types of returns on the revenue side? 
Michael P. Connors: I think you will see that in 2021. We think we will be there on a full year basis. It will pick up steam as we move through each quarter, but we expect to be at those levels in 2021. 
Operator: We'll take our next question from Vincent Colicchio with Barrington Research. 
Vincent Colicchio: Yes. Nice quarter, Mike. 
Michael P. Connors: Thanks, Vince. 
Vincent Colicchio: You're welcome. We're into January -- we're into March now of the current quarter, just curious what your pipeline looks like maybe for continued growth in the Q2 period. 
Michael P. Connors: Yes. I think Q2 looks -- shaping up nicely. The demand environment is picking up. And I would say a lot of the -- on the digital side, on the cloud implementation services, our scaling of kind of enterprise cloud with clients, sourcing for cloud transformation, cloud governance, billing, charge-backs, those kinds of things, those are all very hot topics. We also would envision some of our larger clients that were harder hit, so think casinos, think some of the hotels, we see them beginning to emerge better. So instead of having 10% to 20% occupancy rates, we're now beginning to see 35%, 40%, 50% occupancy rates. That's a good thing. That means that they'll be back in business, so to speak, on spending on these kinds of initiatives as I think we move into Q2. So we're anticipating some of those industries -- some of our clients in those industries harder hit to also pick up as we go into the second quarter. So I would say that it looks good, Vince. 
Vincent Colicchio: And as you look ahead and, hopefully, a much improved environment in the second half of the year, how should we think about how your expense structure will change? 
Michael P. Connors: Did you say expense structure? 
Vincent Colicchio: Yes. 
Michael P. Connors: Yes. So look, I think we're -- certainly, as clients will allow us to return to on-site work, some of them will allow us to continue doing our remote work, but I would expect during the second half of the year that our T&E, for both billable and nonbillable, would pick up a bit. And I say nonbillable in the sense that today, we've been able to do all of our selling -- almost all of our selling virtually. As things begin to open up, some clients will allow us to continue to do that, others may not. So we would see a bit more expense coming on the nonbillable side in the back half of 2021 as things open up a little bit. That's probably the only big delta on expenses that we would have. 
Vincent Colicchio: Okay. And any changes in the pricing environment this quarter versus last quarter? 
Michael P. Connors: I would say on the digital, on all ISG Digital areas, pricing is very good for us. It's in high demand. And with high demand, we can continue to keep our premium. We feel we have premium pricing as a firm because of the expertise and the data that underpins everything that we do. And I would say our premium pricing is holding. 
Operator: And we'll take our next question from Marco Rodriguez with Stonegate Capital Markets. 
Marco Rodriguez: I was wondering if you could talk to us a little bit more about the ISG NEXT goal here that you've laid out to increase your adjusted EBITDA margin by 400 basis points over the fiscal '20 results. Obviously, fiscal '20 was not a normal year. So I'm just kind of trying to understand that expansion over a normalized base, if you will. And then also kind of in relation to your -- at least your historically long-term model of adjusted EBITDA kind of growing at 1.5x your revenue growth, any sort of color you can provide there? 
Michael P. Connors: Yes. Look, I think our new model, which is really focusing on more higher-margin product and services around digital and what we call ISG Enterprise, is going to serve us well over the next 2 years, and that's why we believe we can get 400 plus of margin enhancement there. And as we focus on that and continue to focus on our SaaS platform and on our recurring revenue streams, all of that will help us drive a higher margin. And to the point about 1.5x on the bottom line, we think that will definitely continue to move us forward. We see that in '21 and '22, so over the next 2 years, we stand by that we expect to have at least 1.5x EBITDA growth over the revenue growth. 
Marco Rodriguez: Understood. And then just also trying to kind of get a little bit finer tune, understanding on this new model. So obviously, you just mentioned that you have some higher-margin services, that you'll be focusing on recurring revenues, which are higher margins. But I'm trying to also understand the delivery model itself because it kind of sounds as if, yes, you may have some clients that want you to get on a plane and come visit them, but it sounds like you're shifting it more to your consultants are working remotely and, hence, don't have that expense in downtime. Am I kind of understanding that correctly? And if so, what sort of utilization rates for your consultants are you sort of targeting versus what you've done historically? 
Michael P. Connors: So yes, a good question, and I think you do have it right. And what we're saying is that on our delivery model, which we're calling the ISG iFlex, we've added tools -- we've added this ISG Workbench, which is a platform that all of our experts around the world can now access all of our IP, all of our tools, et cetera, with the thought being that likely 80% of them or more will be working remotely through 2021. That will probably be a little less than that in '22, depending on how the world opens up and behaves. But that also will drive higher productivity, as you can imagine. You saw us up 700 basis points in the quarter to 73% utilization on the consulting side. I think that was versus 66% previously. So we should be -- we are looking for something that has a 7 in front of it as we go forward. And all of that, of course, will add to our margin expansion. 
Marco Rodriguez: Got it. Very helpful. And then a couple of just quick kind of housekeeping items here. So with this new delivery model, the T&E impact on revenue, which you called out, obviously, as a negative year in fiscal '20, that revenue stream is roughly not going to return to what it was before in the past. Is that correct? 
Michael P. Connors: That's correct. So we expect the T&E revenue will be near 0, certainly for the first 2 quarters of the year, possibly quarter 3, and then there might be a bit coming in Q4. 
Marco Rodriguez: Got it. And the onetime expenses that you had in the quarter aggregated about $1.7 million of some acquisition cost, severance and the change in contingent liability. Is that all in SG&A? Or is it spread in different areas? 
Michael P. Connors: Is it all what, I'm sorry? 
Marco Rodriguez: Was it all in SG&A? Or was there also some of that cost in different areas? 
Michael P. Connors: All those were in SG&A. 
Marco Rodriguez: Got it. And if I heard you correctly, there was about $0.5 million of contingent consideration -- change in contingent considerations that you're projecting for the first half of fiscal '21? 
Michael P. Connors: Correct. 
Operator: And we have no further questions at this time. I'd like to turn the conference back to our presenters for any additional or closing remarks. 
Michael P. Connors: Thanks very much. Let me just close by saying thank you to all of our professionals worldwide for stepping up to the challenges presented by this coronavirus. Even working remotely, there has been no letup in our passion for delivering the best advice and support to our clients.
 And thanks to all of you on the call for your continued support and confidence in our firm. Stay well, everyone, and have a great rest of the day. 
Operator: And that does conclude today's conference. We thank you for your participation. You may now disconnect.